Company Representative: Dennis Polk - President, Chief Executive Officer Marshall Witt - Chief Financial Officer Liz Morali - Senior Manager, Investor Relations
Operator: Good afternoon. My name is Rob, and I will be your conference operator today. I would like to welcome everyone to the SYNNEX, Fourth Quarter Fiscal 2020 Earnings Call. Today’s call is being recorded and all lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question-and-answer session. At this time for opening remarks, I would like to pass the call over to Liz Morali, Senior Manager, Investor Relations. Liz, you may begin.
Liz Morali: Thank you, Rob, and good afternoon everyone. Welcome to the SYNNEX fourth quarter fiscal 2020 earnings call. Joining me today to review our financial results are Dennis Polk, President and CEO; and Marshall Witt, CFO.  Before we continue, let me remind everyone that today’s discussion contains forward-looking statements within the meaning of the federal securities laws, including the predictions, estimates, projections or other statements about future events, strategies, demand, growth, expenses, costs and service models. Actual results may differ materially from those mentioned in these forward-looking statements as a result of risks and uncertainties discussed in today’s earnings release, in the Form 8-K we filed today and in the Risk Factors section of our Form 10-K and our other reports and filings with the SEC.  We do not intend to update any forward-looking statements. Also, during this call we will reference certain non-GAAP financial information. Reconciliations of GAAP to non-GAAP results are included in our earnings press release and the related Form 8-K available on our Investor Relations website ir.synnex.com. This conference call is the property of SYNNEX Corporation and may not be recorded or rebroadcasted without our permission. I will now turn the call over to Marshall. Marshall.
Marshall Witt: Thanks Liz, and thank you to everyone joining us for today’s call. The consolidated Q4 and fiscal 2020 results I will present today include Concentrix as the spin-off was completed on December 1, which is the first day of our fiscal 2021. All go-forward financial discussion applies to SYNNEX on a standalone basis.  Concentrix will hold a separate earnings call to review its results in greater detail tomorrow morning, January 12. So we will refrain from answering Concentrix related questions on today’s call in order to allow the Concentrix management team to directly discuss their business and results during tomorrow’s call. Before moving to the fourth quarter results, I want to acknowledge that 2020 was a year unlike any in recent memory. The COVID-19 pandemic altered the way that we all worked, lived and learned this year. Despite this, we successfully saw Concentrix, created increased value for our shareholders and are well positioned heading into 2021. The remote work, learn and consume trends continued in the fourth quarter, which led to increases in demand for products and services provided by SYNNEX and Concentrix and this dynamic led to record financial results for our fourth quarter. On a consolidated basis, total revenue was $7.4 billion, up 13% year-over-year. Consolidated gross profit totaled $823 million, up 4% or $29 million compared to the prior year, and gross margin was 11.1% compared to 12.1% the prior year.  Total adjusted SG&A expense was $503 million or 6.8% of revenue, down $23 million compared to the year-ago quarter, primarily due to continued Concentrix synergies related to the Convergys acquisition and lower Concentrix variable operating expenses.  Consolidated non-GAAP operating income was $388 million, up $50 million or 15% versus the prior year. Non-GAAP operating margin was 5.2%, up 10 basis points compared to the prior-year period. Total non-GAAP net income was $271 million, up $51 million or 23% over the prior year and non-GAAP diluted EPS was $5.21, up 22% year-over-year. Now shifting gears to Technology Solutions Q4 operating performance. Technology Solutions revenue was $6.1 billion, up 14% or $745 million over the prior-year quarter. Technology Solutions gross margin of 6% was 30 basis points lower than the prior-year quarter, primarily due to product mix.  Operating income of $200 million was up $34 million from the year-ago period and non-GAAP operating income was $216 million, up 22% or $38 million year-over-year. Non-GAAP operating margin was 3.5%, 22 basis points higher than a year ago. Technology Solutions COVID-19 related incremental expense decreased in Q4 as expected, driven by a reduction in the amount related to doubtful accounts. The costs associated with staffing and remote work increased quarter-over-quarter. We expect incremental quarterly costs at a minimum of $5 million in 2021, with the goal of creating other efficiencies to offset the majority of these impacts. Interest expense and effective tax rate for Q4 reflects SYNNEX and Concentrix consolidated results and were consistent with expectations. Technology Solutions Q1 interest expense and finance charges are expected to be approximately $22 million to $23 million and effective tax rate is expected to be 26% for the quarter and also for fiscal 2021.  Given our spin for comparison to prior year, we believe it’s best to compare Technology Solutions with the non-GAAP operating income operating margin level provided in prior releases and filings. This is due to the fact that below the operating line Technology Solutions and Concentrix were under a consolidated capital and tax structure. This, along with stranded corporate costs of approximately $5 million, which we expect to lower over time make the comparisons difficult.  For those who would like to produce a pro forma comparison analysis to the prior fiscal year, we suggest that along with the stranded costs, to use an assumed debt of $1.5 billion at approximate 4.5% plus other financing costs of approximately $7 million per quarter and a tax rate of approximately 25%.  Please note that the Q1, 2020 pro forma tax rate is approximately 15% due to stock-based comp tax benefits and FIN 48 reversals. Please note that these are only suggested amounts for pro forma analysis and in no way should be construed as GAAP or equivalent numbers. Now turning to the balance sheet. In today’s press release, we have provided both a consolidated balance sheet and a pro forma SYNNEX balance sheet. Post spin Technology Solutions debt is approximately $1.6 billion and net debt is just about $200 million. Accounts receivable totaled $2.8 billion and inventories totaled $2.7 billion as of the end of Q4.  Technology Solutions cash conversion cycle for the fourth quarter was 25 days, 16 days lower than the prior year and eight days lower than the prior quarter. The decrease was driven by DSO improvements across Technology Solutions and better inventory turns. Cash generated from operations was approximately $297 million in the quarter with approximately $205 million attributable to Technology Solutions, excluding inter-company settlements. For the full year we generated $1.84 billion in operating cash flow with $1.36 billion attributable to Technology Solutions. At the end of the fourth quarter, including our cash and credit facilities, Technology Solutions had approximately $2.8 billion of available liquidity.  As a result of our improved financial performance and liquidity, our Board of Directors has approved the reinstatement of a quarterly cash dividend of $0.20 per common share. The dividend is expected to be paid on January 29, 2021 to stockholders of record as of the close of business on January 22, 2021. Going forward, we intend to utilize 30% to 35% of our free cash flow for capital return programs either via dividends and/or share buybacks. We believe this level allows us to adequately invest in our business, while maintaining our commitment to driving long-term shareholder returns. Now moving to outlook for fiscal Q1. We expect revenue to be in the range of $4.5 billion to $4.8 billion. Non-GAAP net income is expected to be in the range of $81 million to $91.5 million and non-GAAP diluted EPS is expected to be in the range of $1.55 to $1.75 per diluted share on weighted average shares outstanding of approximately $51.8 million. As previously announced, beginning in fiscal Q1, we’ve made the decision to exclude share-based compensation from our non-GAAP results. Excluding share-based compensation is consistent with the practices of many of our partners, competitors and customers and we believe this more accurately reflects our operating performance. Our Q1 non-GAAP net income and non-GAAP diluted EPS guidance exclude after-tax cost of $7.3 million or $0.14 per share related to the amortization of intangibles and $3.4 million or $0.07 per share related to the shareholder based compensation. Please note that these statements of our first quarter fiscal 2021 expectations are forward-looking and that our actual results may differ materially. Lastly, we previously shared that one of our customers would be moving to a consignment service model in 2021. We now have more clarity regarding the timing of this change and expect the transition to occur in our fiscal Q3 2021. As previously indicated, we expect this change to reduce revenue by approximately $600 million per quarter, although it may take some time to fully ramp up to that level. Moving into 2022 we expect further consignment with this customer will take place, increasing the quarterly run rate, something greater than $600 million per quarter. On a go-forward basis, margins related to this customer will be based on product and service mix. I will now turn the call over to Dennis.
Dennis Polk: Thank you, Marshall, and thank you to everyone joining our call. I’m very proud of the accomplishments of the SYNNEX team in 2020, especially so against the backdrop of a very challenging environment. I would like to thank all our associates for their hard work and dedication this year in helping us deliver outstanding service and solid financial results.  I would also like to thank both the SYNNEX and Concentrix teams for their diligence in completing the spin-off on December 1. A big congratulation to Chris and the Concentrix team and we look forward to continuing to work with them as a customer of Concentrix. Thanks as well to our shareholders for the support of the spin transaction.  Now, to our Q4 results. As Marshall noted, Concentrix will discuss its results tomorrow morning, but I would like to say how proud I am of all the associates of Concentrix for delivering solid top line and operating income results in Q4. Despite the pandemic and other challenges, Concentrix accelerated into the spin and we look forward to watching their execution and growth going forward.  For the SYNNEX TS business, our record top line performance in the fourth quarter was driven by broad-based demand across all our platforms as the remote work, learn and consume trends continued. Our revenue growth, along with seasonally high Q4 leverage benefits drove solid profit and returns as well.  Consistent with Q2 and Q3, demand remained strong in products such as notebooks, Chromebooks, cloud, collaboration and security. This was evident in both our commercial and retail distribution businesses. As expected, COVID-19 continued to impact enterprise office demand in Q4 with office desktop, print and other products experiencing lower volumes. We did however see the signs of a continuation of the return of on-premise projects in Q4 that we started to experience in Q3.  From a geographical perspective, U.S., Canada, and Japan all performed well and better than internal expectations. Latin America was essentially flat compared to the prior year, but overall positive given the obvious challenges in the geo.  In our Hive business, Q4 was stronger than anticipated with continued demand from our largest customer to support its data center needs. Part of our overall margin strength during the quarter was also from Hive. Leverage and improved efficiencies due to spike in business and recoveries from investments made throughout fiscal ’20 were the drivers.  Our Q4 guidance anticipated Hive revenues to be at the lower end of our range of expectations. This was due to the strong Q3 performance and visibility at the time of our Q4 outlook. In the end, revenue was above the high end of our internal range as we performed very well in servicing a significant increase in demand in the quarter. As we have consistently noted regarding this business, it is lumpy and continue to be challenging to predict quarter-to-quarter.  Turning to our outlook, our priority remains on the health and safety of our associates. Overall, we are optimistic about fiscal ’21 given the start of vaccine rollouts and we are hopeful our world returns to a closer sense of normalcy over the next year. With this occurring, we expect that business investment will increase, especially in IT. At the same time, we are cognizant of the fact that while economies around the world should begin to normalize, much is still uncertain about the pace in solving all the challenges of the pandemic and the timing of consistent economic recovery. This is evident by additional lockdown actions taken recently in most major countries we operate in.  For our Q1, with continued execution we anticipate our business will grow slightly better than the market for the quarter. Continued demand for our products and services related to remote work, learn and consume, combined with the remaining backlog we have provides us a base level of confidence in our forecasts. Like the last few quarters, we have estimated our Hive business at the lower end of our internal projection.  For fiscal ’21, using our Q1 forecast as a base, we expect the rest of fiscal ’21 to progress in-line to the seasonal patterns of 2018 and 2019. This assumes market conditions and demand improves throughout the year and there is no significant change in our current mix of business among other traditional assumptions. Lastly, I am pleased that we are able to restart our capital return program with our dividend announcement today and Marshall’s comments about our share repurchase program.  In closing, our strategy of optimizing our core business, investing in organic opportunities and targeting strategic M&A to enhance our portfolio will continue to provide us with opportunities to grow moving forward. This strategy, along with the drive, determination of the SYNNEX team, coupled with the excellent partnerships with our customers, vendors and the communities we operate in support my confidence about the future for SYNNEX. With that, I would like to open up the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Tim Yang from Citi. Your line is open. 
Tim Yang : Hi, thanks for taking my questions. I wanted to ask about the margin expansion on a year-over-year basis. If we use the midpoint of your guidance and it includes share based comp, I think you’re guiding [February] [ph] quarter margin expansion at roughly 10 basis points from last year, it was [roughly] [ph] up 15%. I think this expansion is lower than the margin expansion of 20 basis points you achieved in November quarter, we’ve seen in your revenue growth. Can you maybe just provide some color on that, and just give some mix or extra investment you can make in the quarter? 
Dennis Polk: Hi Tim, this is Dennis. So we are pleased to be able to expand our margins year-over-year. If you look at Q1 ‘21 versus Q1 ‘20 and that's primarily due to, as you said, the mix in our business, but also the additional leverage we get from the growth in our business. Traditionally in Q1 though margins will decline a little bit from Q4, again because of the leverage we get in our business in Q4 which is seasonally high and to some extent mix. 
Tim Yang : Got you. And then, if I remember correctly, I think you mentioned last quarter that your TS Q4 net debt, which should be around roughly $700 million, but it seems like Q4 net debt you reported was less that $100 million. Can you maybe just talk about that and how should we think about your debt [inaudible]net debt going forward? Thanks. 
Marshall Witt : Yes, Tim. Hey Tim, this is Marshall. You're right, that was a fairly conservative number we estimated. We did have a strong Q4. Our cash conversion was extremely efficient, our actual performance is very strong. So I think the combination of those three drove to the cash being at 1.4 for TS. 
Tim Yang : Is it fair to assume that net debt going forward, it's similar to this level? 
Marshall Witt: Yeah, we’re optimistic that as we go forward Tim and thinking about 2021, we’ll continue to be cash flow positive and also free cash flow positive. 
Tim Yang : Got you. Thank you. 
Marshall Witt: Thanks Tim. 
Operator: Your next question comes from the line of Ruplu Bhattacharya from Bank of America. Your line is open.
Ruplu Bhattacharya: Hi and thanks for taking my questions. Dennis, can you comment on the strength that you saw in the different channels? Maybe just talk about what you saw in the small, medium business and you know enterprises hyper scale mid-market. And kind of as a follow-on to that, if you can give us your thoughts on the mix of the business as we go forward. I know PCs have been very strong, but you know from a management standpoint are you focused on shifting the mix more towards the netted down items, more towards software and cloud services? So if you can just talk about your strategy and your long term outlook for the mix of the business?
Dennis Polk : Sure, Ruplu, thanks for the question. So as far as the strength in the quarter, I think that was your first question. It was really across the board, as you saw in our results, you know double digit increase year-over-year. So that traditionally indicates benefits from all aspects of our business.  If you look at from a vertical perspective, we saw solid federal results in the quarter. We also saw continued education benefiting our business and as also I indicated, our retail business was strong in the quarter. Traditionally it’s strong in Q4 given the seasonality aspects, but we even beat our internal expectations there.  From a product set standpoint, as I indicated, notebooks and Chromebooks were real drivers during the quarter. Obviously we had a lot of data center business within our high business that drove a lot of our year-over-year increase, but I don't want to take away really anything from all of our organizations and departments, because there really was an across the board beat in every category, so that’s your first question.  Your second question as far as go forward. Of course we are going to focus on areas that can enhance our business and grow our margins, but I don't want that to signal anything that we'd ever discount or go away from any existing business that we have. Our goal is to continue to grow the overall portfolio of our company and offerings and be able to deliver and service anything along that spectrum and get the proper returns for the products we deliver in that spectrum, and that's our focus going forward.  We've done very well so far. Our recent acquisitions have really helped benefit our company and the breadth of products we have, and that part of our strategy going forward is to increase that breadth either through organic or inorganic needs. 
Ruplu Bhattacharya: Thanks for the details on that Dennis. Just to follow up on what you just said about inorganic growth, I mean maybe if you can just talk about the overall framework for your capital allocation strategy. You know how would you prioritize you know the return of capital to buy backs or you know with lowering of debt reduction and then M&A, do you think that you know as we get past the pandemic, I mean are you open to doing more M&A? Do you think this is the right time for that and how should we think about inorganic growth going forward. 
Marshall Witt: Hey Ruplu, this is Marshall. I’ll start and then hand it over to Dennis. In terms of capital allocation, as we mentioned in our prepared remarks, we’re targeting 30% to 35% of our free cash flow to be focused on share repurchases and dividends. So we're pretty excited about that and how we think it’s a good balance of shareholder returns going forward, and then I'll turn it over to Dennis just thinking about M&A and opportunities there. 
Dennis Polk: Thanks Marshall. Yeah, from an M&A aspect we’ll continue our history and that's really being opportunistic when it comes to M&A transactions. For the past couple of years as you saw, we were more focused and put more of our capital towards the Concentrix part of our business, but now that we're a standalone, clearly we can dedicate the capital to the TS part of our business and we’ll do so when it comes to M&A opportunities.  Our focus in M&A is going to be on geographic expansion, vendor line card additions and other services that will help enable our customers and their efforts to deliver to their customers, but we're always going to stay focused on ensuring that when we do an acquisition it has the right returns, the integration can be done in the right way within our company and the right culture and management team comes along with it. 
Ruplu Bhattacharya: Okay, thanks for all the details. I appreciate it. 
Operator: Your next question comes from the line of Shannon Cross from Cross Research. Your line is open. 
Shannon Cross : Thank you very much. I was curious, in your commentary you expect to go back to sort of seasonality that you've seen as we go through the year, but you also, it sounds like things are getting better. So I'm curious given the strength in PCs and what we've seen with the return of enterprise to doing some of the projects that were delayed. What some of the offsets would be? Where you are anticipating maybe you know some weakness or maybe some deceleration from current levels, and then I have a follow up, thank you. 
Dennis Polk: Hi Shannon, thanks for the question. So we wanted to try to allow for analysts to have an idea of what we're thinking about for fiscal ’21. We are obviously only guiding to the first quarter, but we want to give some flavor to you for the rest of the year.  Looking at 2020, clearly the seasonality of the fiscal year was like no other. So we went and looked back at fiscal ’18 and ’19 and if you average the two, we think that is a good projection for the rest of the year.  As far as how the business will play out for the rest of the year, as I’ve said in my prepared remarks and as you’ve indicated, there’ll be some ups and downs as we make our way through each quarter, but we believe when some of the business that was better in 2020 starts to move down in 2021, we'll see the comeback of other businesses that weren’t so positive in 2020, and that should balance out again to a more traditional seasonality period, again using the averages of ‘18 and ‘19. 
Shannon Cross : Okay and then I'm curious, with regard to the solar winds hack or whatever we’re – however to described that, have you heard of you know renewed focus on security, maybe you know customers need to reevaluate their data centers to make sure that they are not still susceptible. I’m just curious if this is something that's been a driver or do you think will be a driver of demand this year. Thank you. 
Dennis Polk: Sure, thank you for the question. So I believe there's been a heightened sense of concern over security. We've seen a definite increase in our business and security over the past, call it 12 to 24 months, but I do think when you have these major events occur, it causes folks to think even more about their security environment and that traditionally means more investment in the security aspects of individual businesses. 
Shannon Cross : But you haven't seen anything that's like specific necessarily the solar ones itself in terms of rip and replace or thoughts on that way, is that fair to say. 
Dennis Polk: I think it's fair to say we've seen a lot of activity, but I really can't comment on any specific customer situation for you. 
Shannon Cross : Okay, thank you. 
Operator: Your next question comes from the line of Adam Tindle from Raymond James. Your line is open.
Adam Tindle: Okay, thanks, good afternoon. I just wanted to start on the capital structure. Marshall, net debt to EBITDA I think is around one-times now. I think you also mentioned that you expect to continue to generate positive cash flow, so that number is only going to go down. So maybe just touch on now that we're post separation, what the optimal capital structure looks like in your view, and you know you can imagine where the next line of questioning goes to Dennis.  On use of proceeds, you talked about opportunistic acquisitions. If you could just follow-up with Marshall's comments and you talk about geographic footprint as kind of a bullet point number one when you talk about that. Historically, we think of SYNNEX as much more focused, narrow, deep specific geographies relative to others. So I'd be curious you’re gating factors on assessing a particular geography and how you think about geographic expansion in a profitable manner.
Marshall Witt: Alright Adam, I'll tackle the tactics first and hand it over to Dennis for strategy. We do think 2021 will be a decent year for free cash flow. We're anticipating roughly about $500 million of free cash flow, and with that we anticipate about 30% to 35% as I said earlier of that to go back in to dividends and share repurchases.  So we like that, call it collective balance as it does leave us a lot of dry powder with liquidity that we have going into 2021 to be in a really good position to take advantage of. As you were referencing, is this geography as a line card, is it something else, but I'll flip it over to Dennis now.
Dennis Polk: Thanks Marshall. Yeah, traditionally Adam you're right. We've been more targeted in the acquisitions that we made either from a geography standpoint and relate it to some extent from a vendor and other service standpoint. But at this point in time, we've built a company that has a pretty sizable base, so we do feel more comfortable targeting a larger geographic entry if you will, and/or just overall larger transactions.  It doesn't mean we're going to only chase larger deals. We will do smaller or more tactical ones if they make sense. But given our confidence and the larger entity we have today, we do feel we have the ability to execute well, basically on any size transaction at this point in time.
Adam Tindle : Okay, that's fair. Maybe just as a quick follow-up and clarification on the Hive customer change, I think if I have it correct, you previously said that you weren't expecting a material change to earnings should volumes with the customer continue at existing levels. It sounds like today we're hearing that there's going to be more volume declines. So hoping for an update on the statement on how much earnings headwind we should be thinking about as this unfolds, you know starting to approach what could be about a $3 billion annualized revenue headwind. So just want to set proper expectations on the associated earnings headwind as that unfolds to the extent that you have visibility. Thank you.
Marshall Witt : Hey Adam, it’s Marshall. I have a couple of things and then again I’ll have Dennis also comment. As you know from previous conversations, when it does transition to consignment, it does spin off cash from that in terms of reduction in working capital. So that will free up cash for us to go do more things with. And to just get back to your question on the overall volume and profit associated with this customer, we still anticipate profit dollars to be the same, but certainly we’ll be contingent upon ongoing growth process mix. As you know, within Hive we have design-related services and we have integration services and we have a lot of disti-like services. So when you blend that, that has a different mix or margin profile as we're thinking about 2021.
Dennis Polk : And all I would add Adam is just a good point by Marshall, with the reduction and top line from the consignment aspect it's going to bring a lot of capital to our business, so we have to make sure that we invest that capital wisely back into the business to generate more returns.
Adam Tindle : Understood, that makes sense. Thank you.
Dennis Polk: Thank you.
Operator: Your next question comes from the line of Matt Sheerin from Stifel; your line is open.
Matt Sheerin: Yes, so thank you and good afternoon everyone. Another question if I can regarding the Hive business. Now post spin of Concentrix, it's even a bigger part of your business, both from top line and profitability. And I know a lot of investors ask about your more granularity, a little bit more transparency about the business in terms of margin structure, customer mix. And then it seems like you're doing more services and more you know volume or rather margin enhancing kind of services for the company. So it would be great to get a little bit more visibility in terms of that business going forward.
Dennis Polk: Okay. Yeah Matt, we do appreciate that feedback and we recognize as our company has changed with the spin-off that investors will be looking for additional information about our operations, and we'll take your comments to note and come back with the best we can moving forward with the right amount of disclosure for our investors.
Matt Sheerin: Well, maybe just as a follow-up, maybe just give us as an idea, it looks like you had double-digit year-over-year growth in TS in the last quarter. Can we assume that both, the core business and Hive outgrew double digits or has Hive been growing faster than the core business?
Marshall Witt: Yeah. We are pleased with the growth across all TS landscapes if you will, and with LATAM being the only one that was somewhat flat, the rest showed strong results. We'd anticipate it to happen moving forward into '21. And then Matt, the back to the reference of that '18, '19 seasonality, if you use Q1 as the marker and then flow from there, you'll find that that mid-single digit ends up being where you get to and we can certainly offline walk you through that to get to where you need to be for thoughts on 2021.
Dennis Polk : Thank you, Marshall. And Matt, I'd just add, just to be very clear, our non-Hive business grew very well in the quarter.
Matt Sheerin: Understood. And then just as a follow-up to that if I can. You did talk about strength in those product areas, client devices particularly. I mean, is there any concern about very tough comps and maybe a wind down of that cycle that we've seen, both of the remote work from home and then on the education market or do you see slides [ph] going into the second half of this year?
Marshall Witt: Yeah, I do think the momentum we have and the backlog we have will take us into at least Q2 and possibly Q3 of 2021. So there is a decent tailwind there. If that business starts to transition to a lower growth rate, I do think, as I mentioned before, we'll start to get a bit of a tailwind from the on-premise enterprise infrastructure investment side of our business and that should pick up or replace any reduction in the current run rate of the notebook and Chromebook and other products I mentioned that have done quite well.  All that being said Matt, I do think even with any transitions, we're set up with a very broad portfolio to manage through any type of volume environment in 2021.
Matt Sheerin: Understood. Okay, thanks so much.
Dennis Polk: Thank you, Matt.
Operator: Your next question comes from the line of Ananda Baruah from Loop Capital. Your line is open.
Ananda Baruah: Hey, good afternoon guys. Happy New Year and congrats on getting the deal done. Two for me if I could. Just real quick Marshall, can you remind us what leverage ratios you're comfortable taking with stand-alone? Well you and Dennis are comfortable taking with stand-alone or the new-co company to in an M&A situation.
Marshall Witt: Sure. Yeah. We finished the year all in at 2.21 and that's with Concentrix without – because the TS measure is 2.5, so very comfortable; liquidity 2.8. Ananda as you know, with the right opportunity and the right accretion we've been as high as a little over 4x. So we've got quite a wide range of acceptability and ability to cover those with the right investment or acquisition.
Ananda Baruah: Okay, excellent! Thanks for that. And just, I guess just Dennis quickly going back to your PC comments, can you – are you – you have backlog, so I guess you're sort of in the constrained posture right now. Can you just confirm that? And then you know, do you think you are more or less constrained than the industry?  And then just a clarification – well not a clarification, I guess sort of like a DOT follow-up here to your remarks a moment ago. Do you – if when this changes from sort of COVID backlog to more on-prem, did your mix improve in that situation? You know and that maybe there’s fewer Chromebooks, so you could have like a revenue hand-off in the mix improvement as you move on-prem? Just high-level thoughts on those things. Thanks.
Dennis Polk: Sure, a couple of questions there Ananda. So as far as constraints or shortages, challenges in the market from an SLA perspective, yeah, at a high level I'd say the second half of the year is better than the first half of the year, although we still are in an environment where we do have longer SLAs.  Our backlog is made up of product that is constrained, but there's also just a healthy backlog and business we produced as well. So I just want to be clear on that as far as where we're at in our overall product backlog perspective. As far as going forward and the mix of the business, yes, it should change as the backlog runs out and we fill it up with – it will hopefully be a return to infrastructure on-prem investment. And as we also bring more services that go with on-prem and infrastructure, we should benefit from that as well.
Ananda Baruah: Very helpful. Thank you.
Operator: Your next question comes from the line of Vincent Colicchio from Barrington Research. Your line is open.
Vincent Colicchio: Yeah Dennis, can you give us some color on where supply chain constraints may be holding you back some?
Dennis Polk: Well, I think it's in several places. There is capacity constraints, there is component shortages, I believe there's also geo balancing challenges going on and it does depend on which vendor you're talking about. But in general those are the three main categories I would call out.
Vincent Colicchio: Thank you. My other questions are answered.
Dennis Polk: Thanks Vin.
Operator: At this time there are no more questions. I will turn the call back to Dennis Polk for closing remarks.
Dennis Polk: Great! Thank you. I want to thank the SYNNEX team for all their ongoing efforts. I have confidence in our business and look forward to executing on our strategy in 2021. Please stay well. Thank you and good evening.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.